Conversation:
Rodrigo Caraca: Good morning, everyone. Welcome to the video conference regarding Iochpe-Maxion's Fourth Quarter 2025 Results. I'm Rodrigo Caraca, Senior Investor Relations Manager at the company, and I will be leading this video conference. Today, we are going to have Mr. Pieter Klinkers, CEO; and Mr. Renato Salum available for the question-and-answer session. Please be advised that this video conference is being recorded and will be made available at the company Investor Relations website along with the presentation. We'll be having Mr. Pieter Klinkers presenting in English. For your convenience, simultaneous interpreting into Portuguese and English will be available. [Operator Instructions] Before proceeding, we would like to clarify that any statements made during this video conference regarding the company's business prospects, projections and operational and financial targets constitute the beliefs and assumptions of Iochpe-Maxion's management as well as information currently available by the company. Future projections is not a guarantee of performance. It involves risks, uncertainties that may or may not occur. Now I would like to give the floor to Mr. Pieter Klinkers, CEO for Iochpe-Maxion. Please proceed.
Pieter Klinkers: Bom dia, and good morning to everybody from rainy Sao Paulo, but I hope it's still a good morning for everybody. Let's jump into this presentation. And as usual, we start with having a look on the global markets. If we look at light vehicles, it's different than commercial vehicles that you see on the right side. Light vehicles kind of flattish in 2025 versus 2024, whether you look on including China or excluding China, it doesn't matter too much. We used to look at global production ex China because that's a more relevant market for us, but kind of flattish, and we expect the same to happen in 2026. That doesn't mean that everything is flat. I want to remark here that, for instance, 2 markets, Brazil and India, that are important markets for our company. Those markets show more meaningful growth, we believe, in 2026, and that would be good for our company. If we look on the out years there, there's a little bit more growth, like 2% or 1% to 2% per year, and that would bring the light vehicle market back to a volume of about 95 million to 100 million vehicles in the year 2030. If we look on the commercial vehicle side, it's more dynamic there. And unfortunately, in 2025, as everybody knows, it was negative dynamics primarily, but not only in initially North America, then also South America, but also the European market, especially at the end of the year was not great. And so overall, minus 7% in 2025 versus 2024. That's a meaningful downturn. 2026 looks better, and we take that. And I think it's more or less in all the regions that people foresee, and we concur with that view, markets should be better. Just the year 2026 you look at North America, and we will talk a little bit more about North America during this presentation. Like we did in the last presentation, that market is still down 4% to 5%, people say, but we take it because the market was down so much in the second half of 2025, 30%, 40%, especially in the heavy vehicle market. Some of you may remember, I talked about it in the last call, that is the most important market for us is the heavy vehicles, Class 7, Class 8 that we supply from our structural components unit that was hit the most. And if that market comes back to only being minus 5% compared to 2025, taking into consideration that the first half of '25 is pretty good. That means you need to have a good increase during the year 2026 to get back to more or less the volumes that we had as a whole year 2025. So North America, we take that number. And what we see so far this year, it is confirming that. We don't have an outlook for the second half of the year yet, but the first 3 months of the year are in line with the assumptions that we took for the North American market. We believe Brazil will be better, especially in the first half of 2026. And we also believe Europe will be better. That's what we see happening as well. And Asia for us, most importantly there, India should show solid growth as well. So more optimism from a point of view of the truck market for 2026. And then if you look at '27, '28, a little bit more out, that's pretty significant growth. That's good growth. And so even if that materializes to a good extent, not completely, maybe even more. But if these numbers are more or less true, then our company is very well positioned to benefit from those market trends, because we all know that even in the year 2025, and we'll see that later on, even in the year 2025, there where it was possible, like in Europe or like in Asia, we outperformed the market. And so if the market comes back and we keep our performance, which definitely is the aim, and I think it's going to happen, then we should be very well positioned for those numbers -- to capitalize on those numbers. All right. Enough on the market. Let's look at the numbers on the next slide. Our net revenue in 2025, really a mixed number because the first half was pretty strong and then the second half, initially only because of North America truck and then, let's say, during the third quarter, especially the fourth quarter, the Brazil truck production went down, and that hits us not only in our components division in Brazil, but also in wheels. And so that trended our numbers down in the second half of the year. But overall, in the year 2025, we still came up with BRL 15.3 billion turnover, which is slightly up versus 2024. Our gross profit in the fourth quarter of 2025, despite all the drama in North America and also in Brazil from a commercial vehicle point of view, still at 11.7%, which took us to 12% gross profit margin for the whole year, which we believe is a pretty solid number given the circumstances. Our recurring EBITDA, pretty much the same as on the -- same story as on the gross profit, 9.6% in the fourth quarter and still a double-digit margin in 2025. Again, despite that situation in commercial vehicles in the Americas, which is a very important market for our company, we were able to realize double-digit margin over the year 2025. Leverage, 2.65x in the fourth quarter of 2025. That compares to 2.55x in the third quarter of 2025. But we need to keep in mind here that we lowered our forfaiting of factoring by about BRL 100 million. And so if you neutralize that effect, our leverage would actually be pretty much the same in the fourth quarter 2025 than what it was when we talked to you guys about the third quarter 2025. Okay. Now if we look on the revenue by product, it's obvious that our components unit is hit in North America and South America because of commercial vehicles. Our wheels unit is hit in Brazil -- was hit in Brazil because of that. Not in North America, because from a wheels point of view, we supply also truck wheels to the North American market from Mexico, but we supply the medium truck segment, and that was a very different picture, also slowing down, but much less than what we saw in the heavy truck segment. And therefore, instead of having a split of roughly 75% wheels and 25% components in 2025, that number looks more like 80% wheels and 20% components. If we go to the revenue by customer, it's pretty much the same effect that you see there. Just 2 examples there, you see Traton and Daimler which are big customers for our company for components in North America. Their revenue as a percentage of our total revenue goes down meaningfully, but it's being made up by other customers like Toyota, like Stellantis, like Ford, and those are typical wheel customers, of course, light vehicle customers that we serve through our wheels unit. And we were able to not make up completely, but mitigate to a large extent, those impacts that we saw for components in North America in the second half of 2025. If we go to the next slide and we look a little bit more on the regions. Starting with South America. I think this number shows that we have been outperforming the market. Both light vehicle production and commercial vehicle production ultimately was down in 2025 in Brazil, but our revenue is up. Of course, it was more up in the first half when truck was still okay than it was in the second half. But overall, the revenue is up. And of course, that has to do with us outperforming on the light vehicle side, which is the wheel segment, where primarily we did very well from an aluminum wheel point of view that didn't make up everything in the second half. You see second half, fourth quarter was still down, but less than the market. And so again, a mitigating factor of the headwind that we had in the Brazilian market. So market not so good in the second half, but Maxion at least mitigating partially that market effect. If we look on North America on the next slide, this is the drama that we have been talking about that you can read about everywhere, and it has been hitting us hard in the second half of the year. If you want to hear good news about that market, I can tell you that the fourth quarter was not good, but it was a little bit better than the third quarter. So let's see if that's a trend that will continue into 2026. What we saw in the first 2 months is in line with the targets that we put ourselves. And those targets are mostly based on the data that we showed on the first slide that comes from global data from IHS. And so we don't have a visibility yet for the whole year, but at least the start of the year is in line with the assumptions that we took for this year. And so a big impact in North America, but the fourth quarter, at least being a little bit better ultimately than the third quarter. We go to EMEA, which is Europe, in our case, Europe, Turkey and our plant in South Africa, we clearly outperformed the market. I think you see light vehicles was slightly down over the year. Truck was more or less stable over the whole year in Europe, was down in the fourth quarter, was a little bit up in the beginning of the year, but more or less stable over the whole year. And so us being -- having 18% more revenue on truck is a pretty strong number and us having -- Maxion having 13% more revenue in 2025 than what we had in 2024 shows that we are performing solidly or strong, I would say, in this important market for the company. And that's largely based, not only, but largely based on our position that we have in the truck market there. And so that's not only good for the region. It also has been supporting our global results, which if we would have only been acting in North or South America, those would have been impacted more -- impacting more than what we now see in our overall consolidated results for the company. We go to Asia. I've been saying in the last few presentations that my expectation would be for Asia to start playing a bigger role in our overall revenue and margin situation. And we see that happening. It starts happening in the fourth quarter of 2025 this time in [ pass car ], where the market is good, and I think Maxion is outperforming the market there. And our aim certainly will be to continue that trend and also to complete it with truck. My expectation for truck also both for India and for China next year is this year is positive. And so we saw the start of this region outperforming or supporting our results more significantly happening at the end of last year. And our wish is for that to continue not only in '26, but going forward. India, which is the most important location for us in Asia, I would say, it's a very good place to be nowadays. And we're well positioned there. And as we talked about in other presentations, we have a couple of plans in the drawer to do even a little bit more in India going forward. With that, go back on the next slide to some numbers. And so as we talked before, our margin, I think, both in the fourth quarter of 2025, our gross profit margin as well as for the total year 2025, very much in line with 2024, which I believe based on the sudden reduction that we saw in the North American truck market and then also in the Brazilian truck market, that's a pretty solid result, a result that we would have signed up for when we would have known what happened in the second half of the year in primarily North America. If we go to the next slide, it's pretty much the same story on our EBITDA margin, 9.6% recurring EBITDA margin in the fourth quarter of 2025 with that market situation in the Americas from a truck point of view is, we believe, a solid result. And then the 10.1% margin that we delivered over the whole year, double-digit margin with those sudden drops in the truck market in the Americas is also something that we believe is a good outcome for the company. We look on the next slide, the net income. It's a little bit more depressing story, both for the fourth quarter of the year as well as for the total year. And here, you see the reduced income in CV, of course, which you also see in EBITDA, especially when it's not recurring EBITDA, but you see the higher restructuring cost here as well. And also financial expenses, we were not assuming the SELIC to be at the level where it was during most of last year and where it is today. And so that has been hurting many companies, including our company. And also, we had higher taxes in this quarter, particularly in the quarter 4 of 2025 that hurt our net income. And actually, instead of being slightly positive, now it was a negative net income for the quarter. We go to the next slide, look at our investments. We said we have good discipline in place regarding investments. And I think we delivered on our targets, which was to have a meaningful reduction in 2025 versus what we invested in 2024. A little bit more in the fourth quarter, but that was a managed action. We were pushing out some CapEx from more in the beginning of the year to more towards the end of the year. But the final number for the year, the BRL 554 million that you see on this slide is a meaningful reduction versus what we showed -- what we invested in 2024. Go to next slide. You look at our leverage, I talked about it, went slightly up quarter-over-quarter. But then again, the BRL 100 million less factoring that is included in that number basically brings back the leverage to kind of the same level than what we had in -- sorry, in the third quarter of 2025. We go to the next slide. Look at the gross debt, there's not a lot of change here. I think there's still very manageable amounts of debt for 2026 and '27. And then, of course, we have a little bit more work to do to prepare ourselves for refinancing our bonds in 2028, which we will do. And at the same time, we have a lot of cash liquidity available, BRL 1.6 billion in cash and then on top of that BRL 760 million of undrawn credit lines. So I would say a healthy situation from a debt point of view on this slide, like we explained in prior presentations. We go to the next slide. Usually here, what you see, if you remember, we show a few new business wins regarding wheels. We decided to do different this time. This is a picture of -- the guy in the middle is Giorgio Mariani, and he was in China a couple of weeks ago, picking up an award from Cherry for the good work that we do together with Cherry. And we don't talk a lot about all the new business wins that we have with our customers, primarily because we're not allowed to, unfortunately. But I can tell you here that we are growing rapidly with the Chinese OEMs outside of China primarily. And so just to give you a glance, we now have in place purchase orders or we are already supplying not less than 16 Chinese brands all over the world. This is happening in all the regions that we talked about before Asia, Europe, North America, South America. And so some of you may remember that we talked about believing we're well positioned to have higher market shares with the Chinese OEMs when they go outside of China than what we have currently as market shares for our products in the regions where we operate. And that seems to be materializing. And so we're very happy about that. We are very proud to be able to work with the Chinese OEMs that will continue to grow in Brazil, in Europe, in the Americas, we believe, of course, also in Asia. And we like to work together. They recognize our product portfolio, our innovative products, they jump on it, and they also recognize our global footprint when we work with them in China or when we work with them in Asia or we work with them in Europe. Of course, it's a much smaller step to also work together, for instance, in the Americas. And so a good story here for our company that we were hoping for, and that seems to be materializing. We go to the next slide. Last slide, the business summary. I think the year 2025, of course, it was highlighted, if you want to call it a highlight by all the dynamics that were going on with markets -- truck markets under pressure first in North America, then in South America. But we did a good job, I think, as a company in optimizing our structures. We did a good job in not spending more CapEx than we committed to and lowering our CapEx versus 2024. And we did a good job in adapting pretty quickly. We would have not done that. We would certainly not have been able to do a double-digit margin in this kind of market environment for us. So from a cost and from a flexibility point of view, I think the company did a good job. From a growth point of view, as we talked about in prior presentations, we're not planning to do another big investment, build a new plant on the very short term. But we are planning to grow. And so you can grow through increasing shares. We've been doing some of that in 2025. Of course, we will target to do the same in 2026 as well. We are commercializing innovative products, not only with the Chinese OEMs, but also with the Chinese OEMs they're jumping on it. We like it. We both like it, the customers and we -- and that's also creating some growth. And then we will execute some selective growth initiatives. We did it already in Mercosur with our acquisition of Polimetal in Argentina. We are doing some more in Turkey. We may be doing a little bit more in India. We have a series of good smaller projects in the drawer that we will take out of the drawer piece by piece. And so that will create some growth in a little bit different shape and form than just building a new plant left and right. And so in a nutshell, if people ask me, how is the company doing? I would say when I open the newspaper every morning, and I'm sure you do as well, then you see a lot of dynamics. You read a lot about geopolitics. And then when you read about automotive news, it's a tough world, right? There's a lot of write-offs. There's a lot of pressure on profits. I look at our company and say, maybe we didn't reach all the targets that we put ourselves, which was not possible because of some of the negative -- some of the headwinds that we had in important markets for us. But overall, our company is in a very stable position. And even more important, our company is well positioned to deliver on more solid markets in the truck environment and some growth in regions that is predicted by IHS by Global Data that are important for us like Brazil, like India or in Europe, the truck market coming back on top of market share gains. And so I read the news, I read the automotive news. I look at my own -- at our own company, and I think we're not so bad positioned. With that, I open it for questions and answers.
Rodrigo Caraca: [Operator Instructions] First question is from Fernanda Urbano from XP.
Fernanda Urbano: I have 2 questions. First, in regard to the United States. I know it's a little bit early to say, but I would like to know your projections for 2026, considering your scenario and considering the tariffs? You released that in the fourth quarter. You were seeing some signs of stability for the market, especially for the end of 2025. But I would like now if you can share what is going to happen for 2026. What do you expect as far as time line is concerned so that these tariff effects are going to actually affect the company's sales in the market? And my second question is in regard to Brazil. I would like to explore a little bit the demand for heavy vehicles in Brazil. We see some news today in regard to the beginning of the [ MOVER ] Brazil program and the release for possibilities within the program, posing for more production, especially starting in February. I would like to know from you if you know about this project for Brazil? And I would like to hear about the U.S. as well.
Pieter Klinkers: Thank you very much. Very important questions. Let me start with the first one on the U.S. or let's call it North America. As I said, it's too early to give a prediction for the total year 2026. When we ask our customers, they give us more information, let's say, for the next coming months. They're not yet able to talk about the whole year 2026. But what I can tell you is that our assumptions are in line with IHS with Global Data that during the year 2026, there will be a ramp-up of volumes, which needs to be the case if you want to end the year 2026 slightly below 2025. You started 2025 very high. You ended it at a low. It means the curve needs to go -- needs to swing the other way. And I can -- what I can tell you is that at least in the first months of this year, that's what we see happening. Now a lot more needs to happen for that market to come back to the levels that we saw at the beginning of 2025, and I can't give you any better input right now already. But at least the start of the year is in line with our assumptions. From a tariff point of view, this is changing so much as we know that it's sometimes hard to keep track of what's happening and what are the impacts directly or indirectly on your company. But purely from a North American standpoint, I would say, right now, we believe there is little impact for our company because we were handling under the -- or commercializing our products under Section 232, where there is no change. And of course, there's tariffs under Section 232. But since we are supplying from Mexico, which is getting USMCA exemption, that was the case, and that is still the case. And so from that point of view, for our company right now, based on what we understand and based on where we are today, we believe that there is no meaningful impact from the latest changes regarding the tariffs. When we look on Brazil, we're positive on Brazil. Pass car, we believe, will be positive this year, and we're well positioned to profit from that. Our plants are doing well. Our aluminum plants, we moved some equipment from around the world to Brazil to have a little bit more capacity in Brazil. We acquired a majority stake in Polimetal that will help us to generate more capacity for Mercosur, not just for Argentina, but for Mercosur. And so from a pass car point of view, we're well positioned. And then truck, we do have the capacity, both for components and for wheels. And we believe that at least in the first half of the year, yes, the program you're talking about will be helpful. And so we're looking forward for those projections to materialize. I hope that answers your questions? Gives you a little bit more insight?
Rodrigo Caraca: Our next question is from Gabriel Rezende, Itau BBA.
Gabriel Rezende: I will ask the question in English so Pieter can understand. So just following up on the answer you gave regarding heavy vehicles here in Brazil, if you could comment how you're perceiving the inventory levels for your customers in Brazil, it could be great. Just to get a sense because we have seen a steep deterioration on production levels in the fourth quarter along the latest months into 2025. So just trying to understand whether there's a catch-up in production to happen in the beginning of 2026 here in the Brazilian market. And also, if you could comment -- provide further details on what we could expect for market share gains throughout 2026. As I understand because you gained market share along 2025, you start 2026 with an already high market share. Just trying to understand whether we should see only a carryover effect or if there's additional projects for you to get additional room for you to get in your customers at this point?
Pieter Klinkers: For Brazil, we do not foresee any special effect of too high inventories or too low inventories. And so what we see happening is the market coming back to a certain extent in the beginning of this year. And so we do not see any special effect of having too low inventories and the catch-up of production or having too high inventories and still cooling down even though sales of trucks goes up. So it's in line with our assumptions. And those assumptions are better in the first half of 2026 than what we saw in the second half of 2025. When you talk about market share increase, of course, you talk more about Europe and Asia, where that story is happening, especially on the commercial vehicle side. And you're right, some of those market shares they cannot continue to increase. But I would say, some already happened beginning '25, some happened more towards the end of '25. And so my expectation is still to see a positive effect of that. How big that effect will really be depends a little bit on how the market develops and how quickly we can materialize all of our potential. But I agree with you. The story is not endless. But at the same time, I'm hopeful that we will still see some positive effect from that also in 2026 and not only in 2025. I hope that answers.
Rodrigo Caraca: Our next question is from Luiza Mussi from Safra.
Luiza Mussi Tanus e Bastos: I have 2 questions. First, could you please give some more details in regard to what happened to CapEx in this quarter? And considering your scenario you described, what could we expect in regard to leveraging of the company for 2026? These are my 2 questions.
Renato Salum: Well, thank you for your question. Let me explain to you in regard to what happens to the effective taxing for '24 and '25. It is explained by some recurring points that benefit 2024 and they have not been repeated for '25. Some of the movements are in the fourth quarter '24, we had a positive impact of around BRL 30 million, and this is due to a plant in India. It took us 4 years for the ramp-up. And when we can prove that the plant is in a good situation and profitable, we have the trigger for this acknowledgment of the tax-related losses in the company. So we did have this positive impact, and we are not being impacted by the same in 2025. Another important point is what we call inflation account. Considering Turkey is a hyperinflation country, we have the updates of all those numbers with the inflation accounts, and this update happens with equity. When we have this equity update, we generate a credit in equity, and we generate a debt in the operational expenses because it is included as an expense. With this, the PBT was reduced. And when you apply the nominal tax, you have less tax to pay. The inflation account was being applied in the previous years. And on December '25, the Turkish Parliament approved a measure in which the monetary correction is suspended for 2025. and it leaves 2026 as suspended. So this inflation account also has a negative impact of around BRL 40 million. So these are these 2 impacts that we suffer. Of course, we have other positive impacts that lead us to BRL 32 million, and this is the difference between quarters. Another important thing to highlight is timing. When we look at 2025 against '24, we do see an improvement of around BRL 40 million. So our effective tax is not the accounting tax, it's the actual tax that is paid. It was in around 27%. So this is the explanation of what we saw in the fourth quarter. And unfortunately, this inflation account impact affects our net profit, and this is what happened for '24 December. In regard to the leveraging, as Pieter mentioned, we wrap this year at 2.65-fold. Of course, there is a reduction of around BRL 100 million in our factoring operations. And at the end of the day, we would be close to the same leverage we had in Q3. Obviously, there is some deterioration of this leverage from 2.4x last year to 2.56x adjusted. But we also see cash generation that is strong in the company, even with the scenario that we've explained. We see BRL 328 million of cash generated with cash flow, we say indirectly and a series of investment that was in line with what we had appointed, which was around BRL 500 million. So we closed with BRL 508 million. Of course, there is a reduction in cash because there is some liquidity. But in general context, we do generate cash, BRL 328 million and obviously, worsening the working capital in BRL 100 million because we don't follow with factoring. But in view of this scenario, we have managed to control. Even with the impact, we had around BRL 50 million in expenditures with the restructuring, and it impacts EBITDA and leveraging. But we do not have significant deterioration with this scenario. And looking forward, as Pieter said, we are in line with what the agencies have been forecasting in regard to vehicle light or heavy vehicles production. And we are very close to the situation that we are envisioning today.
Rodrigo Caraca: Next question is from Joao Andrade from Bank of America.
Joao Andrade: My question is in regard to the antitrust investigation occurring in Germany. If you could share a little bit, if you have any estimates so that this investigation is concluded. The fact that you are collaborating with authorities is good, but I would like to hear from you in this regard.
Pieter Klinkers: Yes. Joao, thank you for the question. Of course, we cannot speculate about this matter. As you say, we are fully cooperating with the authorities, and there was a next step through this formal notification. And together with the authorities, we are studying what that means, and we're looking how we can best manage the next steps in this procedure. But at this moment, it's really unclear what it means -- if it means something from a financial point of view. And so we're not in a position at this stage of the investigation to give any further comments regarding amounts of money that could be involved or would be involved if they are involved.
Rodrigo Caraca: Our next question is from Keefer Kennedy from Citibank. Keefer, can you hear us. With no further questions, we are now closing the Q&A session. I would now like to give the floor to Pieter Klinkers for his final statements.
Pieter Klinkers: Thank you very much for your participation. I can inform you that the rain has stopped in Sao Paulo. I hope you -- the rest of your morning, whatever time zone you're in, will be okay. We will work hard this year to deliver the results that we've put ourselves. And during this year, it's still a long year in February. There will be positives, there will be negatives, but I think we're well positioned to hopefully capitalize on a market that especially from a truck point of view is looking to be in better shape in 2026 than it was in 2025. And so I'm looking forward to come back to all of you with our first quarter earnings call in a few months from now. Thank you for listening to us. Bye-bye.
Rodrigo Caraca: Good morning, everyone. Welcome to the video conference regarding Iochpe-Maxion's Fourth Quarter 2025 Results. I'm Rodrigo Caraca, Senior Investor Relations Manager at the company, and I will be leading this video conference. Today, we are going to have Mr. Pieter Klinkers, CEO; and Mr. Renato Salum available for the question-and-answer session. Please be advised that this video conference is being recorded and will be made available at the company Investor Relations website along with the presentation. We'll be having Mr. Pieter Klinkers presenting in English. For your convenience, simultaneous interpreting into Portuguese and English will be available. [Operator Instructions] Before proceeding, we would like to clarify that any statements made during this video conference regarding the company's business prospects, projections and operational and financial targets constitute the beliefs and assumptions of Iochpe-Maxion's management as well as information currently available by the company. Future projections is not a guarantee of performance. It involves risks, uncertainties that may or may not occur. Now I would like to give the floor to Mr. Pieter Klinkers, CEO for Iochpe-Maxion. Please proceed.
Pieter Klinkers: Bom dia, and good morning to everybody from rainy Sao Paulo, but I hope it's still a good morning for everybody. Let's jump into this presentation. And as usual, we start with having a look on the global markets. If we look at light vehicles, it's different than commercial vehicles that you see on the right side. Light vehicles kind of flattish in 2025 versus 2024, whether you look on including China or excluding China, it doesn't matter too much. We used to look at global production ex China because that's a more relevant market for us, but kind of flattish, and we expect the same to happen in 2026. That doesn't mean that everything is flat. I want to remark here that, for instance, 2 markets, Brazil and India, that are important markets for our company. Those markets show more meaningful growth, we believe, in 2026, and that would be good for our company. If we look on the out years there, there's a little bit more growth, like 2% or 1% to 2% per year, and that would bring the light vehicle market back to a volume of about 95 million to 100 million vehicles in the year 2030. If we look on the commercial vehicle side, it's more dynamic there. And unfortunately, in 2025, as everybody knows, it was negative dynamics primarily, but not only in initially North America, then also South America, but also the European market, especially at the end of the year was not great. And so overall, minus 7% in 2025 versus 2024. That's a meaningful downturn. 2026 looks better, and we take that. And I think it's more or less in all the regions that people foresee, and we concur with that view, markets should be better. Just the year 2026 you look at North America, and we will talk a little bit more about North America during this presentation. Like we did in the last presentation, that market is still down 4% to 5%, people say, but we take it because the market was down so much in the second half of 2025, 30%, 40%, especially in the heavy vehicle market. Some of you may remember, I talked about it in the last call, that is the most important market for us is the heavy vehicles, Class 7, Class 8 that we supply from our structural components unit that was hit the most. And if that market comes back to only being minus 5% compared to 2025, taking into consideration that the first half of '25 is pretty good. That means you need to have a good increase during the year 2026 to get back to more or less the volumes that we had as a whole year 2025. So North America, we take that number. And what we see so far this year, it is confirming that. We don't have an outlook for the second half of the year yet, but the first 3 months of the year are in line with the assumptions that we took for the North American market. We believe Brazil will be better, especially in the first half of 2026. And we also believe Europe will be better. That's what we see happening as well. And Asia for us, most importantly there, India should show solid growth as well. So more optimism from a point of view of the truck market for 2026. And then if you look at '27, '28, a little bit more out, that's pretty significant growth. That's good growth. And so even if that materializes to a good extent, not completely, maybe even more. But if these numbers are more or less true, then our company is very well positioned to benefit from those market trends, because we all know that even in the year 2025, and we'll see that later on, even in the year 2025, there where it was possible, like in Europe or like in Asia, we outperformed the market. And so if the market comes back and we keep our performance, which definitely is the aim, and I think it's going to happen, then we should be very well positioned for those numbers -- to capitalize on those numbers. All right. Enough on the market. Let's look at the numbers on the next slide. Our net revenue in 2025, really a mixed number because the first half was pretty strong and then the second half, initially only because of North America truck and then, let's say, during the third quarter, especially the fourth quarter, the Brazil truck production went down, and that hits us not only in our components division in Brazil, but also in wheels. And so that trended our numbers down in the second half of the year. But overall, in the year 2025, we still came up with BRL 15.3 billion turnover, which is slightly up versus 2024. Our gross profit in the fourth quarter of 2025, despite all the drama in North America and also in Brazil from a commercial vehicle point of view, still at 11.7%, which took us to 12% gross profit margin for the whole year, which we believe is a pretty solid number given the circumstances. Our recurring EBITDA, pretty much the same as on the -- same story as on the gross profit, 9.6% in the fourth quarter and still a double-digit margin in 2025. Again, despite that situation in commercial vehicles in the Americas, which is a very important market for our company, we were able to realize double-digit margin over the year 2025. Leverage, 2.65x in the fourth quarter of 2025. That compares to 2.55x in the third quarter of 2025. But we need to keep in mind here that we lowered our forfaiting of factoring by about BRL 100 million. And so if you neutralize that effect, our leverage would actually be pretty much the same in the fourth quarter 2025 than what it was when we talked to you guys about the third quarter 2025. Okay. Now if we look on the revenue by product, it's obvious that our components unit is hit in North America and South America because of commercial vehicles. Our wheels unit is hit in Brazil -- was hit in Brazil because of that. Not in North America, because from a wheels point of view, we supply also truck wheels to the North American market from Mexico, but we supply the medium truck segment, and that was a very different picture, also slowing down, but much less than what we saw in the heavy truck segment. And therefore, instead of having a split of roughly 75% wheels and 25% components in 2025, that number looks more like 80% wheels and 20% components. If we go to the revenue by customer, it's pretty much the same effect that you see there. Just 2 examples there, you see Traton and Daimler which are big customers for our company for components in North America. Their revenue as a percentage of our total revenue goes down meaningfully, but it's being made up by other customers like Toyota, like Stellantis, like Ford, and those are typical wheel customers, of course, light vehicle customers that we serve through our wheels unit. And we were able to not make up completely, but mitigate to a large extent, those impacts that we saw for components in North America in the second half of 2025. If we go to the next slide and we look a little bit more on the regions. Starting with South America. I think this number shows that we have been outperforming the market. Both light vehicle production and commercial vehicle production ultimately was down in 2025 in Brazil, but our revenue is up. Of course, it was more up in the first half when truck was still okay than it was in the second half. But overall, the revenue is up. And of course, that has to do with us outperforming on the light vehicle side, which is the wheel segment, where primarily we did very well from an aluminum wheel point of view that didn't make up everything in the second half. You see second half, fourth quarter was still down, but less than the market. And so again, a mitigating factor of the headwind that we had in the Brazilian market. So market not so good in the second half, but Maxion at least mitigating partially that market effect. If we look on North America on the next slide, this is the drama that we have been talking about that you can read about everywhere, and it has been hitting us hard in the second half of the year. If you want to hear good news about that market, I can tell you that the fourth quarter was not good, but it was a little bit better than the third quarter. So let's see if that's a trend that will continue into 2026. What we saw in the first 2 months is in line with the targets that we put ourselves. And those targets are mostly based on the data that we showed on the first slide that comes from global data from IHS. And so we don't have a visibility yet for the whole year, but at least the start of the year is in line with the assumptions that we took for this year. And so a big impact in North America, but the fourth quarter, at least being a little bit better ultimately than the third quarter. We go to EMEA, which is Europe, in our case, Europe, Turkey and our plant in South Africa, we clearly outperformed the market. I think you see light vehicles was slightly down over the year. Truck was more or less stable over the whole year in Europe, was down in the fourth quarter, was a little bit up in the beginning of the year, but more or less stable over the whole year. And so us being -- having 18% more revenue on truck is a pretty strong number and us having -- Maxion having 13% more revenue in 2025 than what we had in 2024 shows that we are performing solidly or strong, I would say, in this important market for the company. And that's largely based, not only, but largely based on our position that we have in the truck market there. And so that's not only good for the region. It also has been supporting our global results, which if we would have only been acting in North or South America, those would have been impacted more -- impacting more than what we now see in our overall consolidated results for the company. We go to Asia. I've been saying in the last few presentations that my expectation would be for Asia to start playing a bigger role in our overall revenue and margin situation. And we see that happening. It starts happening in the fourth quarter of 2025 this time in [ pass car ], where the market is good, and I think Maxion is outperforming the market there. And our aim certainly will be to continue that trend and also to complete it with truck. My expectation for truck also both for India and for China next year is this year is positive. And so we saw the start of this region outperforming or supporting our results more significantly happening at the end of last year. And our wish is for that to continue not only in '26, but going forward. India, which is the most important location for us in Asia, I would say, it's a very good place to be nowadays. And we're well positioned there. And as we talked about in other presentations, we have a couple of plans in the drawer to do even a little bit more in India going forward. With that, go back on the next slide to some numbers. And so as we talked before, our margin, I think, both in the fourth quarter of 2025, our gross profit margin as well as for the total year 2025, very much in line with 2024, which I believe based on the sudden reduction that we saw in the North American truck market and then also in the Brazilian truck market, that's a pretty solid result, a result that we would have signed up for when we would have known what happened in the second half of the year in primarily North America. If we go to the next slide, it's pretty much the same story on our EBITDA margin, 9.6% recurring EBITDA margin in the fourth quarter of 2025 with that market situation in the Americas from a truck point of view is, we believe, a solid result. And then the 10.1% margin that we delivered over the whole year, double-digit margin with those sudden drops in the truck market in the Americas is also something that we believe is a good outcome for the company. We look on the next slide, the net income. It's a little bit more depressing story, both for the fourth quarter of the year as well as for the total year. And here, you see the reduced income in CV, of course, which you also see in EBITDA, especially when it's not recurring EBITDA, but you see the higher restructuring cost here as well. And also financial expenses, we were not assuming the SELIC to be at the level where it was during most of last year and where it is today. And so that has been hurting many companies, including our company. And also, we had higher taxes in this quarter, particularly in the quarter 4 of 2025 that hurt our net income. And actually, instead of being slightly positive, now it was a negative net income for the quarter. We go to the next slide, look at our investments. We said we have good discipline in place regarding investments. And I think we delivered on our targets, which was to have a meaningful reduction in 2025 versus what we invested in 2024. A little bit more in the fourth quarter, but that was a managed action. We were pushing out some CapEx from more in the beginning of the year to more towards the end of the year. But the final number for the year, the BRL 554 million that you see on this slide is a meaningful reduction versus what we showed -- what we invested in 2024. Go to next slide. You look at our leverage, I talked about it, went slightly up quarter-over-quarter. But then again, the BRL 100 million less factoring that is included in that number basically brings back the leverage to kind of the same level than what we had in -- sorry, in the third quarter of 2025. We go to the next slide. Look at the gross debt, there's not a lot of change here. I think there's still very manageable amounts of debt for 2026 and '27. And then, of course, we have a little bit more work to do to prepare ourselves for refinancing our bonds in 2028, which we will do. And at the same time, we have a lot of cash liquidity available, BRL 1.6 billion in cash and then on top of that BRL 760 million of undrawn credit lines. So I would say a healthy situation from a debt point of view on this slide, like we explained in prior presentations. We go to the next slide. Usually here, what you see, if you remember, we show a few new business wins regarding wheels. We decided to do different this time. This is a picture of -- the guy in the middle is Giorgio Mariani, and he was in China a couple of weeks ago, picking up an award from Cherry for the good work that we do together with Cherry. And we don't talk a lot about all the new business wins that we have with our customers, primarily because we're not allowed to, unfortunately. But I can tell you here that we are growing rapidly with the Chinese OEMs outside of China primarily. And so just to give you a glance, we now have in place purchase orders or we are already supplying not less than 16 Chinese brands all over the world. This is happening in all the regions that we talked about before Asia, Europe, North America, South America. And so some of you may remember that we talked about believing we're well positioned to have higher market shares with the Chinese OEMs when they go outside of China than what we have currently as market shares for our products in the regions where we operate. And that seems to be materializing. And so we're very happy about that. We are very proud to be able to work with the Chinese OEMs that will continue to grow in Brazil, in Europe, in the Americas, we believe, of course, also in Asia. And we like to work together. They recognize our product portfolio, our innovative products, they jump on it, and they also recognize our global footprint when we work with them in China or when we work with them in Asia or we work with them in Europe. Of course, it's a much smaller step to also work together, for instance, in the Americas. And so a good story here for our company that we were hoping for, and that seems to be materializing. We go to the next slide. Last slide, the business summary. I think the year 2025, of course, it was highlighted, if you want to call it a highlight by all the dynamics that were going on with markets -- truck markets under pressure first in North America, then in South America. But we did a good job, I think, as a company in optimizing our structures. We did a good job in not spending more CapEx than we committed to and lowering our CapEx versus 2024. And we did a good job in adapting pretty quickly. We would have not done that. We would certainly not have been able to do a double-digit margin in this kind of market environment for us. So from a cost and from a flexibility point of view, I think the company did a good job. From a growth point of view, as we talked about in prior presentations, we're not planning to do another big investment, build a new plant on the very short term. But we are planning to grow. And so you can grow through increasing shares. We've been doing some of that in 2025. Of course, we will target to do the same in 2026 as well. We are commercializing innovative products, not only with the Chinese OEMs, but also with the Chinese OEMs they're jumping on it. We like it. We both like it, the customers and we -- and that's also creating some growth. And then we will execute some selective growth initiatives. We did it already in Mercosur with our acquisition of Polimetal in Argentina. We are doing some more in Turkey. We may be doing a little bit more in India. We have a series of good smaller projects in the drawer that we will take out of the drawer piece by piece. And so that will create some growth in a little bit different shape and form than just building a new plant left and right. And so in a nutshell, if people ask me, how is the company doing? I would say when I open the newspaper every morning, and I'm sure you do as well, then you see a lot of dynamics. You read a lot about geopolitics. And then when you read about automotive news, it's a tough world, right? There's a lot of write-offs. There's a lot of pressure on profits. I look at our company and say, maybe we didn't reach all the targets that we put ourselves, which was not possible because of some of the negative -- some of the headwinds that we had in important markets for us. But overall, our company is in a very stable position. And even more important, our company is well positioned to deliver on more solid markets in the truck environment and some growth in regions that is predicted by IHS by Global Data that are important for us like Brazil, like India or in Europe, the truck market coming back on top of market share gains. And so I read the news, I read the automotive news. I look at my own -- at our own company, and I think we're not so bad positioned. With that, I open it for questions and answers.
Rodrigo Caraca: [Operator Instructions] First question is from Fernanda Urbano from XP.
Fernanda Urbano: I have 2 questions. First, in regard to the United States. I know it's a little bit early to say, but I would like to know your projections for 2026, considering your scenario and considering the tariffs? You released that in the fourth quarter. You were seeing some signs of stability for the market, especially for the end of 2025. But I would like now if you can share what is going to happen for 2026. What do you expect as far as time line is concerned so that these tariff effects are going to actually affect the company's sales in the market? And my second question is in regard to Brazil. I would like to explore a little bit the demand for heavy vehicles in Brazil. We see some news today in regard to the beginning of the [ MOVER ] Brazil program and the release for possibilities within the program, posing for more production, especially starting in February. I would like to know from you if you know about this project for Brazil? And I would like to hear about the U.S. as well.
Pieter Klinkers: Thank you very much. Very important questions. Let me start with the first one on the U.S. or let's call it North America. As I said, it's too early to give a prediction for the total year 2026. When we ask our customers, they give us more information, let's say, for the next coming months. They're not yet able to talk about the whole year 2026. But what I can tell you is that our assumptions are in line with IHS with Global Data that during the year 2026, there will be a ramp-up of volumes, which needs to be the case if you want to end the year 2026 slightly below 2025. You started 2025 very high. You ended it at a low. It means the curve needs to go -- needs to swing the other way. And I can -- what I can tell you is that at least in the first months of this year, that's what we see happening. Now a lot more needs to happen for that market to come back to the levels that we saw at the beginning of 2025, and I can't give you any better input right now already. But at least the start of the year is in line with our assumptions. From a tariff point of view, this is changing so much as we know that it's sometimes hard to keep track of what's happening and what are the impacts directly or indirectly on your company. But purely from a North American standpoint, I would say, right now, we believe there is little impact for our company because we were handling under the -- or commercializing our products under Section 232, where there is no change. And of course, there's tariffs under Section 232. But since we are supplying from Mexico, which is getting USMCA exemption, that was the case, and that is still the case. And so from that point of view, for our company right now, based on what we understand and based on where we are today, we believe that there is no meaningful impact from the latest changes regarding the tariffs. When we look on Brazil, we're positive on Brazil. Pass car, we believe, will be positive this year, and we're well positioned to profit from that. Our plants are doing well. Our aluminum plants, we moved some equipment from around the world to Brazil to have a little bit more capacity in Brazil. We acquired a majority stake in Polimetal that will help us to generate more capacity for Mercosur, not just for Argentina, but for Mercosur. And so from a pass car point of view, we're well positioned. And then truck, we do have the capacity, both for components and for wheels. And we believe that at least in the first half of the year, yes, the program you're talking about will be helpful. And so we're looking forward for those projections to materialize. I hope that answers your questions? Gives you a little bit more insight?
Rodrigo Caraca: Our next question is from Gabriel Rezende, Itau BBA.
Gabriel Rezende: I will ask the question in English so Pieter can understand. So just following up on the answer you gave regarding heavy vehicles here in Brazil, if you could comment how you're perceiving the inventory levels for your customers in Brazil, it could be great. Just to get a sense because we have seen a steep deterioration on production levels in the fourth quarter along the latest months into 2025. So just trying to understand whether there's a catch-up in production to happen in the beginning of 2026 here in the Brazilian market. And also, if you could comment -- provide further details on what we could expect for market share gains throughout 2026. As I understand because you gained market share along 2025, you start 2026 with an already high market share. Just trying to understand whether we should see only a carryover effect or if there's additional projects for you to get additional room for you to get in your customers at this point?
Pieter Klinkers: For Brazil, we do not foresee any special effect of too high inventories or too low inventories. And so what we see happening is the market coming back to a certain extent in the beginning of this year. And so we do not see any special effect of having too low inventories and the catch-up of production or having too high inventories and still cooling down even though sales of trucks goes up. So it's in line with our assumptions. And those assumptions are better in the first half of 2026 than what we saw in the second half of 2025. When you talk about market share increase, of course, you talk more about Europe and Asia, where that story is happening, especially on the commercial vehicle side. And you're right, some of those market shares they cannot continue to increase. But I would say, some already happened beginning '25, some happened more towards the end of '25. And so my expectation is still to see a positive effect of that. How big that effect will really be depends a little bit on how the market develops and how quickly we can materialize all of our potential. But I agree with you. The story is not endless. But at the same time, I'm hopeful that we will still see some positive effect from that also in 2026 and not only in 2025. I hope that answers.
Rodrigo Caraca: Our next question is from Luiza Mussi from Safra.
Luiza Mussi Tanus e Bastos: I have 2 questions. First, could you please give some more details in regard to what happened to CapEx in this quarter? And considering your scenario you described, what could we expect in regard to leveraging of the company for 2026? These are my 2 questions.
Renato Salum: Well, thank you for your question. Let me explain to you in regard to what happens to the effective taxing for '24 and '25. It is explained by some recurring points that benefit 2024 and they have not been repeated for '25. Some of the movements are in the fourth quarter '24, we had a positive impact of around BRL 30 million, and this is due to a plant in India. It took us 4 years for the ramp-up. And when we can prove that the plant is in a good situation and profitable, we have the trigger for this acknowledgment of the tax-related losses in the company. So we did have this positive impact, and we are not being impacted by the same in 2025. Another important point is what we call inflation account. Considering Turkey is a hyperinflation country, we have the updates of all those numbers with the inflation accounts, and this update happens with equity. When we have this equity update, we generate a credit in equity, and we generate a debt in the operational expenses because it is included as an expense. With this, the PBT was reduced. And when you apply the nominal tax, you have less tax to pay. The inflation account was being applied in the previous years. And on December '25, the Turkish Parliament approved a measure in which the monetary correction is suspended for 2025. and it leaves 2026 as suspended. So this inflation account also has a negative impact of around BRL 40 million. So these are these 2 impacts that we suffer. Of course, we have other positive impacts that lead us to BRL 32 million, and this is the difference between quarters. Another important thing to highlight is timing. When we look at 2025 against '24, we do see an improvement of around BRL 40 million. So our effective tax is not the accounting tax, it's the actual tax that is paid. It was in around 27%. So this is the explanation of what we saw in the fourth quarter. And unfortunately, this inflation account impact affects our net profit, and this is what happened for '24 December. In regard to the leveraging, as Pieter mentioned, we wrap this year at 2.65-fold. Of course, there is a reduction of around BRL 100 million in our factoring operations. And at the end of the day, we would be close to the same leverage we had in Q3. Obviously, there is some deterioration of this leverage from 2.4x last year to 2.56x adjusted. But we also see cash generation that is strong in the company, even with the scenario that we've explained. We see BRL 328 million of cash generated with cash flow, we say indirectly and a series of investment that was in line with what we had appointed, which was around BRL 500 million. So we closed with BRL 508 million. Of course, there is a reduction in cash because there is some liquidity. But in general context, we do generate cash, BRL 328 million and obviously, worsening the working capital in BRL 100 million because we don't follow with factoring. But in view of this scenario, we have managed to control. Even with the impact, we had around BRL 50 million in expenditures with the restructuring, and it impacts EBITDA and leveraging. But we do not have significant deterioration with this scenario. And looking forward, as Pieter said, we are in line with what the agencies have been forecasting in regard to vehicle light or heavy vehicles production. And we are very close to the situation that we are envisioning today.
Rodrigo Caraca: Next question is from Joao Andrade from Bank of America.
Joao Andrade: My question is in regard to the antitrust investigation occurring in Germany. If you could share a little bit, if you have any estimates so that this investigation is concluded. The fact that you are collaborating with authorities is good, but I would like to hear from you in this regard.
Pieter Klinkers: Yes. Joao, thank you for the question. Of course, we cannot speculate about this matter. As you say, we are fully cooperating with the authorities, and there was a next step through this formal notification. And together with the authorities, we are studying what that means, and we're looking how we can best manage the next steps in this procedure. But at this moment, it's really unclear what it means -- if it means something from a financial point of view. And so we're not in a position at this stage of the investigation to give any further comments regarding amounts of money that could be involved or would be involved if they are involved.
Rodrigo Caraca: Our next question is from Keefer Kennedy from Citibank. Keefer, can you hear us. With no further questions, we are now closing the Q&A session. I would now like to give the floor to Pieter Klinkers for his final statements.
Pieter Klinkers: Thank you very much for your participation. I can inform you that the rain has stopped in Sao Paulo. I hope you -- the rest of your morning, whatever time zone you're in, will be okay. We will work hard this year to deliver the results that we've put ourselves. And during this year, it's still a long year in February. There will be positives, there will be negatives, but I think we're well positioned to hopefully capitalize on a market that especially from a truck point of view is looking to be in better shape in 2026 than it was in 2025. And so I'm looking forward to come back to all of you with our first quarter earnings call in a few months from now. Thank you for listening to us. Bye-bye. [Statements in English on this transcript were spoken by an interpreter present on the live call]